Operator: Good morning. My name is Arnica and I will be your conference operator today. At this time, I would like to welcome everyone to the Lancaster Colony Corporation's Second Fiscal Quarter 2009 Results Conference Call. Conducting today's call will be Jay Gerlach, Lancaster Colony Chairman and CEO and John Boylan, Vice President, Treasurer and CFO. All lines have been placed on-mute to prevent any background noise. After the speakers' remarks there will be a question and answer period. (Operator Instructions). Thank you. And now to begin your conference, here is Earl Brown, Lancaster Colony Investor Relations.
Earl Brown: Thank you and thanks to all of you for joining us. Let me also say thank you today for joining us for the Lancaster Colony second quarter fiscal year 2009 conference call. Now please bear with me while we take care of a few details. As with other presentations of this type, today's discussion by Jay Gerlach, Chairman and CEO, and John Boylan, Vice President, Treasurer and CFO will contain forward-looking statements of what may happen in the future, including statements relating to Lancaster Colony's sales prospects, growth rates, expected future levels of profitability as well as the extent of share repurchases and business acquisitions to be made by the company. These forward-looking statements are based on numerous assumptions and are subject to uncertainties and risks. Accordingly, investors are cautioned not to place undue reliance on such statements. Factors that might cause Lancaster's results to differ materially from forward-looking statements include but are not limited to risks relating to the economy, competitive challenges, changes in raw materials costs, the success of new product introductions, the effect of any restructurings and other factors as are discussed from time-to-time in more detail in the company's filings with the SEC, including Lancaster Colony's report on Form 10-K. Please note that the cautionary statements contained in the Safe Harbor paragraph of today's news release also apply to this conference call. Now here is Jay Gerlach. Jay?
John B. Gerlach, Jr.: Good morning and thank you for joining us this morning. We are pleased to report a much improved second quarter's pricing finally got ahead of rising input costs and margins moved to more historic levels. Good volume in our Specialty Food segment as well as a strong seasonal mix, new products and good operations were also contributors. The quarter was helped by the previously announced proceed of a Continued Dumping and Subsidy Offset Act distribution which contributed $0.20 per share. Before some additional segment comments, let me update you on our capital uses. Due to the weak economy and difficult credit markets, we have been careful on both capital investment, which was $3.1 million in the quarter and share repurchases which totaled 200,000 shares or $6.8 million in the quarter. Share repurchases year-to-date are 496,000 shares for $16.9 million and we have 27,970,000shares outstanding and 509,000 shares available for repurchase. We are continuing to invest in capital to invest capital in good return projects or where capacity or new capability as needed. New product innovation is also a priority. We do think it is appropriate to maintain a strong balance sheet in this difficult time, so that we are able to take advantage of growth opportunities, be the organic or acquisitions. Turning to our Specially Food segment, the quarter saw a pricing at about 10% to sales which help offset input cost increases from materials of over $10 million quarter-over-quarter. The 14% sales increase reflected growth in both our retail and food service channels with new product and programs being a factor in each. Our New York Brand Ciabatta Cheese Rolls, Pizzeria Dip'N Sticks and Texas Toast Croutons continue to show good growth. We're very pleased with our Sister Schubert's Brand growth in the important holiday season helped by having good capacity available due to our new production facility that came on screen the previous fall. Our new Marzetti and Sister Schubert's plants are both performing well and contributing to lower cost operations. The quarter also benefited from the consolidation of our former Atlanta plant done in the first quarter, and we also saw about $500,000 pretax gain on the sale of that former plant in the second quarter. Also helping this quarter was the good job our sales and marketing team did in controlling promotional expenditures. Looking at just candles sales in our Glassware and Candles segment, we saw sales off mid single digits in spite of a favorable pricing. A better than expected December was not enough to offset a soft October, November as consumer's sell through for the category it was off. Our trade customers were cautious on their inventory levels throughout the season. Wax costs were up over $3 million in the quarter versus last year and we continue to control production levels allowing us to take about $10 million out of inventory versus the same time last year. Our wax costs and less capacity utilization continues to unfavorably impact operating income for this segment. Let me ask John to give us an update on the balance sheet.
John L. Boylan: Thanks Jay. And I will begin this morning by addressing some of the more noteworthy changes in our consolidated balance sheet. First as of this past December 31st, our net accounts receivables totaled $75 million which reflected a seasonal and volume driven increase from the $59 million total at June 30th. The current year balance is $3 million or 5% higher than the December 2007 total from continuing operations and reflects a stronger sales levels we've seen. Our account receivable ageing remained strong, although the existing economic uncertainties certainly require us to remain vigilant in the over side of our customer accounts and collections. Turning to inventories which totaled over $95 million at December 31st, these declined over $24 million since this past June, primarily due to seasonal factors and also declined over $5 million among continuing operations since December 2007. As Jay referenced and Atlanta ad (ph) was foreshadowed in our comments a year ago, we have made strides in reducing our candle inventories over the last year and we now appear to be better balanced with respect to our future needs. Over in liabilities, you'll note that our long-term borrowings totaled $45 million as of December 31st, and are comprised of balances outstanding under our $160 million revolving credit facility. With shareholders equity at December totaling over $366 million, we believe our balance sheet posture still provides us with considerable flexibility in meeting various possible cash needs be it for dividends, share repurchases, business acquisitions or capital expenditures. For reference, CapEx for the most recent six months totaled $6,749,000. Turning to other aspects of this year's cash flows; cash flows from operating activities of continuing operations totaled $62,893,000 which compares to $50,030,000 for the prior year. Higher net income along with some favorable changes in working capital components contributed to this increase. Depreciation and the amortization for the current six months totaled $10,970,000. As Jay alluded to, some other cash flow amounts of note for the six months included $16,894,000 for share repurchases and $50,877,000 for the payment of dividends. Turning to our income statement, I wanted to briefly point out the prior year charges mentioned in the press release we issued this morning. First, in last year's second quarter, we did incur a pretax loss of approximately $5.7 million on the mid November sale of most assets of two glass operations. Additionally, we also incurred a roughly $3 million pretax charge recorded in our corporate expenses that represented a non-cash write-off as deferred pension costs associated with previously discontinued automotive operations. Just one more comment regarding our corporate expenses. We continue to incur holding costs within this line item related to several non-food manufacturing facilities that have been idled over the last couple of years. Over time, we would certainly hope to see these costs mitigated by sales proceeds. For example, in this year's second quarter, we were able to realize a gain of approximately $400,000 on the disposition of a limited portion of our holdings. Nonetheless, we would generally expect to see some level of additional corporate expenses during the carrying period of the remaining properties. Finally, please note that in the current year second quarter, we recorded a pretax distribution under the CDSOA program of approximately $8.7 million or $0.20 per share after taxes. This compares to last year's reminisce of about $2.5 million or $0.05 per share. As you are probably aware, these distributions are recorded within the income statement as other income and as such are excluded from income of the Glassware and Candle segment. While it's possible, there may be some level of future distributions, such potential distributions are not subject to reasonable estimation at this time. At the very best, we did not expect to receive another payment before the last quarter of calendar 2009. At this point, I'll turn our presentation back over to Jay, so he can conclude our prepared remarks.
John B. Gerlach, Jr.: Thanks John. As we look to the second half of our year, our primary concern has to be the economy and its potential impact on our demand. Our Food business overall is holding up well. We do see evidence of the consumer trading down, and see many of our food service customers experiencing reduced traffic. Candle sales will likely be a challenge for the balance of the year. A couple of new food products being introduced in the third quarter, our New York Brand Texas Toast Tortia Strips for salad toppings and three new flavors of Marzetti hummus which continues to show steady growth. Input cost for the balance of the year should trend favorable as some food ingredients lower costs worked their way through our forward buying process. We are also finally seeing wax costs off their peaks, although not down near as much as oil. In our Food business, it is worth pointing out that our second half is historically not as strong in terms of seasonality or mix as the second quarter. So margins are likely not to be as strong in the third and fourth quarters. Capital spending for the full year looks to be around $15 million perhaps less. While our balance sheets give us good flexibility for acquisitions, the opportunities we see today are few. Overall, we are encouraged by the first half of our year and cautiously optimistic as we begin the second half. Arnica we're ready to take questions please.
Operator: (Operator Instructions). Your first question comes from Mitchell Pinheiro with Janney Montgomery.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Hello, hey, good morning.
John Gerlach, Jr.: Hi, Mitch.
John Boylan: Hi, Mitch.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Hello, there. There was a heck of a margin performance and recovery here in the Specialty Foods business and what surprised me a little bit was you'd still included as higher commodity costs. So my question around that is of the -- Jay you had mentioned $10 million, you said quarter-over-quarter, that year-over-year commodity costs and that's part candle, part food, is that correct?
John Gerlach, Jr.: I was referring to just food there.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Just food. So 10 million that's year-over-year, that wasn't a sequential increase, correct?
John Gerlach, Jr.: That's right. That's year-over-year.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Year-over-year, okay. So it seems like you're at that inflection point on the margin with lower or maybe even declining input costs, declining increases for sure and pricing that has been taken. How much of your margin increase was just due to commodities? Have you... offset by pricing I mean is that... you spoke of efficiencies at in worst case, so I was curious if you could break that out?
John Gerlach, Jr.: I don't know if we can break it out exactly, right here Mitch, but pricing getting ahead of input costs would have been the biggest factor certainly in the quarter for the Food business.
Mitchell Pinheiro - Janney Montgomery Scott LLC: So, it is a biggest factor I mean and so I am just half of the gain maybe or much more than that?
John Boylan: Mitch this is John. I think within Jay's comments he indicated that pricing added about 10% in the quarter to sales.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay.
John Boylan: And so, in general terms pricing was roughly double the impact of material costs.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay.
John Boylan: Does that help?
Mitchell Pinheiro - Janney Montgomery Scott LLC: Yeah. That's Okay I got you. I got you. So how does so you took pricing higher and I imagine that generally sticks on the retail end of the business. What are conversations like on the food service side? I mean as there going to be a giveback at some point or how does that work?
John Gerlach, Jr.: Well yeah I think as we worked through our existing programs Mitch and as our costs of key ingredients start to decline and work through the flour buying process, yeah there will be pricing adjustments that will be downward in that case.
Mitchell Pinheiro - Janney Montgomery Scott LLC: And when does that when...
John Boylan: Well I think we started seeing that may be a little bit in the current quarter, the third quarter and probably a little more so as we get in the fourth quarter.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay. In terms of looking at specialty and breaking up retail and food service, you said you had indicated in your prepared remarks that both were I guess both showed growth. Can you be a little more specific or characterize at a little stronger on retail and food service growth?
John Gerlach, Jr.: Well we actually in the quarter saw the mix shift a little bit to greater to food service. So actually saw a little bit greater dollar growth at the food service side and the retail side in the quarter. Unit volume was again probably similar, little greater unit volume out of the food service than what we saw on the retail end of things.
Mitchell Pinheiro - Janney Montgomery Scott LLC: How has your -- how has Marzetti the premium and then your business held up in the...
John Gerlach, Jr.: That would probably be the area that we're watching most closely. I think it is the most premium product we have and we are seeing category weakness in our own unit volume weakness in the premium refrigerated dressings and veggie dip versus what we're seeing over in the frozen side which is really where we are seeing unit volume growth as well as dollar growth.
Mitchell Pinheiro - Janney Montgomery Scott LLC: So frozen -- you would still think that a frozen bread would be more of a premium product as well but you're not I guess that's not you're not seeing that?
John Gerlach, Jr.: Well as we at least think about price points, we have most of our frozen products are going to be in a low $3 or less per unit. We get over in that refrigerator case now. It's not unusual to see unit cost, unit retail prices above $4.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Right. How about, have you seen any -- I mean so you might loose a little of Marzetti but make it up on Pfeiffer or is Pfeiffer not that a strong of a player on the portable side?
John Gerlach, Jr.: It's not that strong of a player, no although it is a lower cost, lower retail price position brand. So, yeah you might see a little better trade down into that, yes.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay. When -- as you look at food service and you sort of talked about, looking at the second half and obviously watching food service, you've done well in food service. Lately you've had a bunch of new products, you've expanded distribution. When do you start lapping like some of those initiatives and the distribution gains?
John Gerlach, Jr.: Well, again, we probably would start seeing that more noticeable in our fourth quarter.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay. Okay.
John Gerlach, Jr.: Of course we're always working on the next new program to try to replace that.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Sure. As far as is there any, I mean, I don't know if there is any... let's say de-stocking but have you seen any inventory declines, not on the Candle side but on the Food side?
John Gerlach, Jr.: I don't know that we've seen anything really noticeable on the Food side now.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay. And in the... when you look at the margins, and your comments regarding the, obviously this quarter is a strong quarter for you and not so strong in the second half. Is that... is that a function of sort of capacity utilization kind of leverage? Is that what we're sort of talking about or...
John Gerlach, Jr.: It's more a product mix, Mitch as we see. The second quarter is a good quarter as it relates to a lot of our frozen products. Certainly the Sister Schubert's business is strong with both the Thanksgiving and Christmas holidays in there. So those things really help drive that quarter.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay. So mix shift and then is there and then, does your Food services takes over, is that what you are saying? Takes over a larger percentage of the mix?
John Gerlach, Jr.: Yeah, it would generally do that. Yes, especially in this third quarter.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay. Do you or have you changed any of your hedging or forward buying strategy, or policies?
John Gerlach, Jr.: No, we have not at this point, no.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay. How far out roughly are you covered on your primary inputs?
John Boylan: Mitch, this is John again. With respect to soybean oil, we can go out as far as a year, roughly a year and in general, what we try and do is graduate our commitments perhaps we're roughly 50% committed for at least 6 months out, and also do some formal buying on flour that may go out, one to three quarters.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay.
John Boylan: And there are a lot of commodities, they really just are not ready forward buying or other hedging opportunities.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Did you guys, you really had an -- I guess have you seen any benefit on dairy in the quarter or is that going to be more ahead of you?
John Gerlach, Jr.: Within the second quarter, if there was one commodity grouping it might be characterized as favorable, it may be in the dairy side, we were still fighting year-over-year comparisons.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Right.
John Gerlach, Jr.: Soybean oil and to a lesser extent on flour.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay, how about packaging?
John Gerlach, Jr.: I don't have that at my figure tips, I don't think that was a major impact year-over-year one way or the other.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay. Just last question, I'll pass it on. You talked about in light of the economy and just being cautious in managing your business little tighter. I think you had mentioned that may be trade or do you say trade or marketing expense you are tightening up there. Can you elaborate on that?
John Gerlach, Jr.: Mitch, I think just on the quarter we were pleased to see the revenue growth we are able to get without really expanding our trade spending. We are not really backing off from it.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay.
John Gerlach, Jr.: We're watching closely and not want to increase it meaningfully anyhow at this point.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay. Well thank you. A very nice quarter.
John Gerlach, Jr.: Thank you.
Operator: Your next question comes from Jason Rogers with Great Lakes Review.
Jason Rodgers - Great Lakes Review: Good morning.
John Gerlach, Jr.: Good morning Jason.
John Boylan: Hi, Jason.
Jason Rodgers - Great Lakes Review: I was wondering if you could talk a little bit of more about this trade down effects on the Marzetti side I think if that was pretty much steady during the quarter or have those conditions accelerated as were through pretty much through January now?
John Gerlach, Jr.: Well Jason I don't know that we can be very precise on the timing there but, I -- we would think back to the premium products in the produced department of refrigerated dressings in veggie dips that there is likely trade down going on there either over to the grocery shelf for dressings perhaps even down the private label dressings on the grocery shelf. We perhaps see a little bit of it in the frozen bread arena, moreover on the garlic bread side. The Texas Toast, garlic bread, we have got a little visibility there as well. So those I think are the areas we're seeing. I don't know that we can suggest to you that it's accelerated dramatically throughout the quarter but I think it is probably growing some throughout the quarter and on in the January.
Jason Rodgers - Great Lakes Review: Okay. And you mentioned a $0.5 million pretax gain on the sale of the Atlanta plant. Was there another -- did you mention a $400,000 gain?
John Gerlach, Jr.: Yes, those were actually two different transactions. The Atlantic gain is in the segment numbers. What was John is referring to on the $400,000; yeah $400,000 piece was one of our closed operations where we did sell some pieces of property there.
Jason Rodgers - Great Lakes Review: That's in the discontinued?
John Gerlach, Jr.: Well it's in the corporate expenses.
Jason Rodgers - Great Lakes Review: Okay. And just a few other house keeping items here, do you have the goodwill and intangibles number for the quarter?
John Boylan: And by number Jason you're referring to just the balance sheet number?
Jason Rodgers - Great Lakes Review: Right.
John Boylan: The goodwill remains at 89 million, 840,000. Other intangible assets net 11,259,000.
Jason Rodgers - Great Lakes Review: Okay. And your cash balances, where is that invested in? Or what is it invested in?
John Boylan: In addition to bank deposits, it would include two or three money market funds.
Jason Rodgers - Great Lakes Review: Okay. Thank you.
John Gerlach, Jr.: You're welcome.
Operator: Your next question comes from Jeff Mathews with Ram Partners.
Jeff Matthews - Ram Partners LP: Hi Jay, how are you?
John Gerlach, Jr.: Good Jeff and how about you?
Jeff Matthews - Ram Partners LP: Good. I had a question on acquisitions. I wondered if the, if you are seeing anymore in the potential deal pipeline out there that was of interest at prices that were possibly more favorable than the last couple of years. And if so, do you have the ability to borrow in this credit environment at a reasonable price?
John Gerlach, Jr.: The pipe line that we see is quite slow, so and nothing that's gone as far as test in the market on pricing for us to have first hand experience there. I'll let John comment on the credit markets.
John Boylan: I think we do have quite a bit of available borrowing under our existing revolver and with respect of the accessing additional sources of financing, I believe is would be available or would certainly come at a much higher than historical normal level of spread the treasuries. On the other hand, you look at what treasuries are right down and they're relatively low in a historical perspective. So I think we've got quite a bit of dry powder just on our existing line for small to moderate acquisitions. And conceptually I think there is some available for the answering it necessary given our cash flows if we were looking at larger transactions.
Jeff Matthews - Ram Partners LP: Okay. And it sounds like you haven't lost your appetite through if something potentially fits?
John Gerlach, Jr.: No, we're very much interested and continue to look and knock on a few doors from a purely development standpoint. But nothing at this point we have described as at all in the works or potential to happen in the near future.
Jeff Matthews - Ram Partners LP: Great. Thank you.
John Gerlach, Jr.: You're welcome.
Operator: (Operator Instructions). Your next question comes from Sarah Lester with Sidoti & Company.
Sarah Lester - Sidoti & Company: Good morning.
John Gerlach, Jr.: Hello Sarah.
John Boylan: Hi Sarah.
Sarah Lester - Sidoti & Company: I wanted to ask about wax costs. I know I might have missed it, did you talk about how much they've declined?
John Gerlach, Jr.: I think Sarah, I'd probably ballpark wax cost being down not necessarily in the quarter but actual cost today versus where it would have been a year ago, may be down about 20% or so.
Sarah Lester - Sidoti & Company: And then.
John Gerlach, Jr.: But we didn't get a, have a wax cost decrease in the second quarter itself.
John Boylan: I think its important to note Sarah, that as you think about our wax cost there is a pretty pronounced lag effect of between when a market cost decline occurs and when we actually get to realize that our cost to good sold, year-over-year in the second quarter, we would actually have had a wax cost increase, adverse impact in excess of $3 million. So for us to get the benefit of the existing decline, it will be out into the fourth quarter if not into the beginning of fiscal 2010.
Sarah Lester - Sidoti & Company: Okay. And then, I don't know if you can break it out but the volume versus pricing in the Glassware or in Candle segment?
John Gerlach, Jr.: That for us it's extremely difficult to do, we did get some level of pricing, but there is quite a bit of turnover in the skews within that segment. So at this point I don't know that I could comfortably break out that impact.
Sarah Lester - Sidoti & Company: Okay, that's fine. And then, going to Food service, can you talk about just any sort of touch on this before, what you're seeing in casual dining and quick serve, I guess break out separately, what you are seeing in each of those segment?
John Gerlach, Jr.: Well, Sarah, I think in general we're seeing stronger demand on the quick serve side, which certainly would follow everything you read about the consumer trading down. Although a number of our casual dining customers are still holding up quite well as it relates to their demand from us anyhow. And again that can be impacted by new programs or new items, we're doing with them. But overall I'd say our quick serve component is somewhat stronger than the casual end.
Sarah Lester - Sidoti & Company: Okay, that's all. Thank you.
John Gerlach, Jr.: You're welcome.
Operator: Your next question comes from Mitchell Pinheiro with Janney Montgomery.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Yeah, I just have a quick follow up. Jay or John did you say as to when a gain is in the segment number and that was $500,000 pretax?
John Gerlach, Jr.: That's right.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay and the -- what was that 400,000?
John Gerlach, Jr.: 400,000 were flown through the corporate expense which was sale of some properties, some of our non-properties.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay. So that's just a pretax, that's not a gain, but that's a pretax, or is that a pretax gain?
John Gerlach, Jr.: That is a pretax gain, Mitch.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay.
John Gerlach, Jr.: It's netted against corporate expenses.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay. And then Jay you also talked about you had some properties that are idle, that are costing you, I guess each quarter and what is that cost?
John Gerlach, Jr.: Yeah, it's going to vary quarter-to-quarter but we'd like to think it's in the low six figures but it does depend on the time of year and certain things from a maintenance standpoint to be going on. Utilities are obviously a factor in the winter. We do have issues of maintaining facilities and keeping sprinklers systems active, that kind of stuff, so it's not likely just shut everything off and completely walk away and have no costs.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay.
John Gerlach, Jr.: Depending on utilities, maintenance needs, that could pop up from time-to-time, low six figures per quarter, but could be higher than that in some quarters.
Mitchell Pinheiro - Janney Montgomery Scott LLC: Okay. Great, thank you.
John Gerlach, Jr.: You are welcome.
Operator: There are no further questions at this time. I would now like to turn the call back over to Mr. Gerlach for any concluding remarks.
John Gerlach, Jr.: Well, thank you all for joining us this morning and we'll look forward to talking with you when we report our third quarter.
Operator: This concludes today's conference call. You may now disconnect.